Operator: Good day, ladies and gentleman. Thank you for standing by. Welcome to the Key Tronic Corporation’s First Quarter Fiscal 2014 conference call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. (Operator Instructions) This conference is being recorded today, October 29, 2013. I would now like to turn the conference over to our host, Mr. Craig Gates. Please go ahead sir.
Craig Gates: Good afternoon everyone. I am Craig Gates, President and Chief Executive Officer of Key Tronic. I would like to thank everyone for joining us today for our investor conference call. Joining me here in our Spokane Valley Headquarters is Ron Klawitter, our Chief Financial Officer. Today, we released our results for the first quarter of fiscal 2014. Our results were in line with our previous guidance. As expected, our revenue and earnings were impacted by a significant reduction in orders for some of our large, longstanding customers in the first quarter. While our new programs typically take over 18 months to begin to contributing revenue, we saw the continued ramp-up of these new programs and increasing revenue diversification. As a result, we expect to see strong sequential growth during a second half of fiscal 2014, as growing revenue from several new customers should offset and then exceed revenue reductions in recent periods by certain large customers. At the end of the first quarter of fiscal 2014, we were generating revenue from 189 separate programs and had 57 distinct customers, up from 168 programs and 51 customers a year ago. We expect the increase in the number of revenue generating programs and customers to reduce our revenue concentration. During the fourth quarter of the previous fiscal year, our largest customer contributed around 23% of our total revenue and our top three customers contributed around 61% of our total revenue. By the fourth quarter of fiscal year 2014, we expect our largest customer to be contributing around 15% of our total revenue and our top three customers to be contributing only about 41% of total revenue. We see this trend as a very encouraging sign that we’re building a much more stable foundation for our future growth. During the first quarter, we also continued to see a robust pipeline of potential new business and have further diversified our future revenue base during the first quarter by winning new customer programs involving fitness equipment and HVAC controls. Our success in winning new business continued to be driven by our unique combination of world class engineering and global footprint and by the competitive advantages that resolved from our vertical integration and expanding production capabilities in Mexico and China. Furthermore, our continued integration of Sabre Manufacturing into our operations is allowing us to begin rapidly expanding our sheet metal fabrication business across our customer base. Now I’d like to turn the call over Ron, to review our financial performance. Then I will come back to discuss our strategy as we move into fiscal 2014. Ron?
Ron Klawitter: Okay. Thanks, Craig. As always, I would like to remind you that during the course of this call, we might make projections or other forward-looking statements regarding future events for the company’s future financial performance. Please remember that such statements are only predictions. Actual events or results may differ materially. For more information, you may review the risk factors outlined in the documents that company has filed with the SEC, specifically our latest 10-K, Quarterly 10-Qs and 8-Ks. Please note that on this call, we will discuss historical financial and other statistical information regarding our business and operations. Some of this information is included in today’s press release and a recorded version of this call will be available on our web site. For the quarter ended September 28, 2013, we reported total revenue of $78 million, compared to $97.5 million in the same period of last year. As anticipated, the decline reflects the decrease in orders from certain large longstanding customers in recent periods. Despite the significant reduction in near-term revenue levels and the fact that we’ve been moving many new programs into production, we have continued to maintain a relatively strong gross margin. Our gross margin was approximately 8.5% in the first quarter of 2014. This is done modestly from recent quarters and our long-term target of 9%. Our total operating expenses were $4.2 million in the first quarter of fiscal 2014, which is about flat sequentially. While this is up 10% from the first quarter of 2013, please note that we had a $475,000 one-time benefit in the first period of last year. Our operating margin was 3% in the first quarter of 2014. This is down from about 4% in the prior quarter and from 6% in the first period of fiscal 2013. This decline primarily reflects our lower revenue levels. Despite maintaining reasonably good operating efficiencies, our lower revenue did have an impact on our bottom line in the first quarter.Net income for the first quarter of fiscal 2014 was $1.7 million or $0.16 per share, compared to $3.7 million or $0.35 per share for the same period in fiscal 2013. Turning to the balance sheet. We have continued to maintain our strong financial position. Our inventory was up 2% from the end of fiscal 2013, which reflects our preparations for anticipated growth in coming periods. We continue to maintain a zero balance on our bank line of credit, which is a reduction of over $11 million from the end of the first quarter of fiscal 2013. Our cash position at the end of the first quarter was $2 million. This is down from $10.8 million at the end of fiscal 2013. The decrease reflects our acquisition of Sabre for around $6 million and the effect on working capital of the back-end loaded nature of our first quarter revenue this year. In coming periods, we expect our cash position to increase. Our trade receivables were $48.6 million at the end of the first quarter and our days sales outstanding were about 50 days. This is up slightly from recent quarters, reflecting the back-end loaded nature of our first quarter revenue this year. Our capital expenditures for the first quarter of fiscal 2014 were approximately $1.1 million and we expect our CapEx to be about $6 million for entire fiscal year 2014. Moving into the second quarter of fiscal 2014, we anticipate more of our new customer programs moving into production and gradually ramping up, beginning to offset the reductions in production levels by some of our large longstanding customers in recent quarters. Taking these factors into consideration, we expect the second quarter of fiscal 2014 will have revenue in the range of $75 million to $80 million. In the second quarter, we expect our gross margins to return to around 9%. We also expect our total operating expenses to remain relatively flat in coming periods. Taking these factors into consideration, we expect earnings in the range of $0.15 to $0.20 per share for the second quarter. This expected earnings range assumes an effective tax rate of 30%. As our new customer programs continue to steadily ramp up, we expect to see a stronger sequential growth during the second half of the year. Overall, the financial health of the company is excellent and we believe we are well positioned to continue to profitably expand our business over the longer term. Okay, Craig that’s it for me.
Craig Gates: All right. Thanks, Ron. While the slowdown by some large customers in recent quarters has been disappointing, we continue to believe our fundamental strategy remains sound. As we’ve discussed before, we have three long-term major competitive advantages. First, increasing costs in China are driving demand for more localized production, Mexico for North American end-users and China for Asian end-users. Among EMS providers, we stand alone in the excellence and breadth of our Mexican operations. As more previously outsource manufacturing business moves back from China, we stand to continue to benefit. Second, our unique organizational structure, which we have honed over years of experience running offshore operations, brings significant advantages to OEMs. Our growing portfolio of customers increasingly want offshore cost savings, yet they fear IP loss, fear offshore schedule risk and inventory uncertainty, do not want to manage an offshore relationship and want U.S. base engineering and prototyping. While we’ll sometimes be competing against our customers’ in-house factories, we believe that beyond the level of cost and service we can provide from our Mexican facilities, we offer an exceptional level of experience with the process of competing with an in-house model. And third, our size and responsiveness compared to our degree of vertical integration and engineering capabilities become even more attractive as the push for localized production intensifies. To this end, our recent acquisition of Sabre manufacturing has enabled us to offer metal fabrication directly to our customers in combination with our plastic molding, PCB assembly, complete product assembly, design engineering and test engineering services. This acquisition furthers our strategic focus of providing all the EMS services available from a much larger company while still bringing the flexibility and high customer service levels that our clients expect from us. With this acquisition, we have already seen significant interest in our expanded capabilities across our combined customer base. While periodic fluctuations in large customer demand, mixed changes in our program portfolio and cost associated with ramping up new programs will continue to be part of our business, we believe our fundamental strategy remains sound and our sustained focus on controlling costs augmenting production processes and enhancing our capabilities will continue to result in profitable growth and competitive advantage. We see more of our new customer programs moving into production and gradually ramping up and our pipeline of new business opportunities remains robust. Over the longer term, EMS market is expected to see steady growth. And we believe Key Tronic is increasingly well positioned to continue to capture market share and capitalize on emerging opportunities. This concludes the formal portion of our presentation. Ron and I will now be pleased to answer your questions.
Operator: Thank you. (Operator Instructions) One moment please for our first question. And our first question comes from the line of Anya Shelekhin with Sidoti. Please go ahead.
Anya Shelekhin – Sidoti: Hi, my first question is about your sales and marketing strategy. I was just wondering what efforts are you making to further diverse that customer base, ad have you made any recent changes to your strategy following the lower demands from the two large customers?
Craig Gates: We have and I’ll answer them backwards. First of all, we haven’t made any changes to our sales and marketing approach following demand of the – demand reduction from the two major customers. If you look back in our history over the last couple of years, the rapid growth of largest customer up to the point to where they were over $30 million a quarter out of a $90 million quarter was something that we were happy to take advantage of, but not something that we expected to continue forever. So what’s been happening much like a duck paddling fiercely under the water, while looking calm and love it. While our top line has declined underneath of that, the complexion of the revenue has changed dramatically. As we mentioned earlier, we’ve got a lot more healthy spread of business than what we had a year and half ago, two years ago. And that spread has continued to come from the marketing and sales strategies that we’ve had in place for the last four, five years. So if you look at the rate that we’ve been winning new business, if you look at the rate, we’ve been winning new programs with existing business, if you look at the opportunities that are in the pipeline, all that has remained very strong and it continues to get better, particularly, as we’ve added Sabre. So we haven’t seen the need to change our sales and marketing. We have been able to expand it quite a bit by having metals. But what’s happened here in the past year really needs to be understood somewhat in the details, because if you just look at the top line you can get fooled in the thinking that some bad systemic stuff is going on. And in fact it’s exactly the opposite of that. There has been a bad occurrence, but that bad occurrence is really that we had one really big customer that grew rapidly and now has shrunk again, which we talked about way back when that customer took off. I even had some investors call me and say, can’t you tell them to grow slower. If we can grow in a straight line, our multiples would go up. So we made a decision to take all that margin and all that revenue, because that was what enabled us partially to pay off all that cash that we had borrowed and build up the bank count, so we could buy somebody like Sabre. So that’s a long answer to the question, but it was a pretty important question. We haven’t changed our sales and marketing. It’s the same as it has been for five years and it is working actually better than it had been in the past.
Ron Klawitter: In fact, as Craig mentioned, the reliance on the top three customers last year’s Q4 was over 60% of our revenue and we expected to be under 45% – closer to 42% by Q4 of this coming year. That decline in that percentage of our top three customers isn’t because those top three customers are declining in revenue year-over-year, but because of the growth of all this other new business that Craig was talking about.
Craig Gates: So that was your second question. What was your first one? I already forgot it.
Anya Shelekhin – Sidoti: That was my first question.
Craig Gates: Okay, good.
Anya Shelekhin – Sidoti: So that is answered. Great, thanks.
Craig Gates: Okay, yes.
Anya Shelekhin – Sidoti: Next question is what percent of total revenue did the top three customers make up this last quarter?
Craig Gates: Let’s see.
Anya Shelekhin – Sidoti: Individually.
Craig Gates: The top three customers in total for our first quarter was approximately 50%.
Anya Shelekhin – Sidoti: Okay. And would you be able to break that down for the first, second and third?
Craig Gates: Yes. The top two were right around 18% and the third was about 14%.
Anya Shelekhin – Sidoti: Okay. And last question is could you provide some more details on how the acquisition of Sabre is going?
Craig Gates: Meanwhile, the market response has been much better than we had hoped, probably about the same as we had dreamed. There had been a number of pretty big programs that we have won that are based upon the fact that we can bring metals as a part of the quote. So what happens is that we’ll have a quote opportunity where, let’s say it $20 million opportunity and it requires that we – used to require that we go out and buy maybe $5 million, $6 million dollars’ worth of metal parts. Then we’d have to put our margin on top of the metal parts and combine those with our PCAs that we manufacture in our plastics. And by the time we did all that, we have jacked the price up to the point that we were just barely competitive or not competitive at all. Now that we can manufacture our own metals and not have to stack margin on top of somebody else’s margin, we’re getting a look at in winning quite a bit of programs and business that has a significant component of metals in that business. So not only has the revenue base that we’ve bought turned out to be solid, not only has the operations that we bought turned out to be as good as we expected in terms of profitability and costs and operational excellence, the strategic intent of adding metals capability to our business has turned out to be even better than we had hoped and much quicker than we had hoped. Right now we’ve got two guys who are doing nothing but quoting full-time new business opportunities for Sabre and those two guys aren’t enough. So we’re having to add more people to the quote side of it to handle the influx of opportunities. So, all in all I am not sure I could be in anyway more pleased with what we’ve done so far. That’s not to say it couldn’t all go wrong tomorrow, but so far everything looks good.
Anya Shelekhin – Sidoti: Okay, great. That’s all for me. Thanks.
Craig Gates: Yes.
Operator: Thank you. Our next question comes from the line of Bill Dezellem with Titan Capital Management. Please go ahead.
Bill Dezellem – Titan Capital Management: Thank you. First of all, relative to the two new programs that you have won or the two announced during this quarter, what was the size of them please?
Craig Gates: Five to 30.
Bill Dezellem – Titan Capital Management: Thank you. And you made reference to the top three customers revenues not decreasing to get down to the lower concentration, but with that having been said, I guess the question is what assumptions are you making when you provide that insight for us?
Craig Gates: Well, you are actually looking at an equation there with one unknown if I give you that answer. And we don’t want to give our projection on what Q4 is actually going to be from revenue. So I guess I am going to say, no comment to that one.
Ron Klawitter: Just a general direction is that, we’re not anticipating a big reduction in those top three customers in absolute revenue, just as a concentration of total revenue.
Craig Gates: Because Ron has already told you what the percentage was today. We already told you what the percentage is going to be in Q4, you’ve only got one more number there and then you’ve got X to solve for.
Bill Dezellem – Titan Capital Management: Well, we’re financial guys, not algebra widgets [ph], so we wouldn’t understand how to handle that equation.
Craig Gates: I am not even going to swing as that beach ball.
Bill Dezellem – Titan Capital Management: So let me ask qualitatively when you look at those customers and I guess it somewhat ties to the last question but not necessarily, and that is that you have had a decline. Is it your sense that those customers as of this quarter, the September quarter have now bottomed? And I know you don’t expect by the end of the year them to lower, but at this point would you say that they have now reached bottom?
Craig Gates: Yes. I would.
Bill Dezellem – Titan Capital Management: And given that if we understood what you have inferred in the past they had gone through an inventory correction, that would imply that they were ordering at a rate under their own sell-through and does that then imply that we should be thinking about your top one and/or two customers to see an increase now in business with you from this point forward or how are you thinking about that?
Craig Gates: Well, we think like you that we should see an increase. We’re planning that they stay flat.
Bill Dezellem – Titan Capital Management: And what insights have your customers shared? And I can understand planning conservatively, but have they indicated that they think business should start to improve or are they not providing insight?
Craig Gates: Well, the number they’ve had us quote and price out have indicated they think their business is going to improve. But when it comes down to the rubber meeting the road, they don’t forecast out far enough that we can see that improvement.
Bill Dezellem – Titan Capital Management: And does that answer apply to both your top one and two customers or just one or the other?
Craig Gates: Both.
Bill Dezellem – Titan Capital Management: Great. Thank you.
Craig Gates: Yes.
Bill Dezellem – Titan Capital Management: I’ll step back in queue and let others ask.
Craig Gates: Okay.
Operator: Thank you. (Operator Instructions) And our next question comes from the line of George Melas with MKH Management. Please go ahead.
George Melas – MKH Management: Hi, good afternoon guys.
Craig Gates: Hi.
Ron Klawitter: Hi George.
George Melas – MKH Management: Just a few questions, but first try to further elaborate on Bill’s question. If you look qualitatively at these three customers, are you winning some business with them? I am sure you’d win lot of different programs with them. Are you losing some programs? Are you sort of maintaining your share of their manufacturing or the digging stuff in-house giving it to others, giving it to you? Can you give us little bit of a sense of that?
Craig Gates: The top one, we have actually won all of their business. So we used to share that and now it’s all come to us.
George Melas – MKH Management: So you used to – you didn’t do Europe and you won Europe, is that what it is?
Craig Gates: I’m not going to comment on that.
George Melas – MKH Management: Okay.
Craig Gates: I’m just going to comment on the fact that we won of all of it. We had some of it before.
George Melas – MKH Management: When does that start, Craig?
Craig Gates: It should be starting to kick-in in the next couple of quarters.
George Melas – MKH Management: Okay.
Craig Gates: The second one now. We haven’t lost any revenue, we haven’t lost any programs. Their business is contracting. And the third customer has remained pretty stable and we actually look like we’re going to win a couple of more programs with them. So in all three cases, this isn’t a situation where Key Tronic is on the way out or we’re losing programs or we’re customers. It’s kind of the opposite where we’re winning programs as our customers continue to appreciate what we do, but in the short-term dip, their overall businesses declined.
George Melas – MKH Management: Okay, great. Well, that’s good to know. If your – most of the growth over the last few years, over the last three years has come I think from these top three customers. So right now all your other customers are really starting, are going to start kick-in and contribute to your growth meaningfully. Maybe what is it about now that this is happening? Because you’ve been adding a lot of customers, it has not necessarily contributed very much to the growth, but now it seems like they will. So that’s my first question. And the second one is what is the impact of this lower concentration on gross margins?
Craig Gates: Okay. So the first question is why now. And as we continue to be disappointed with, but also to be very open with you all about, it takes anywhere from 18 months or more to go from a win of a program to actually seeing meaningful revenue in our top line. In many cases in the sizable programs, say you’re talking about a $40 million win, this is a significant risk for our customer to move from one vendor to us. So what will happen is they’ll start us off with a small program and we will have to make injection molding tools for that program. So that burns up 12 to 14 weeks. Then we get into production. They run that program with us for another half a year to a year to make sure that everything we’ve said to them matches up with what we actually do, because there is lot of competitors out there who say they are as good as us, but the reason we win all this business is because they are not. So our customers may take a year to test us on some very small program to see, if even though it’s a small program we’re willing to commit the resources to make it feel like it’s a big program and to see if our quality responsiveness, trouble solve – I mean problem solving and design capabilities are as we have stated. They get all done with that. Then it’s time to start to transfer and we succeed. Then it’s time to start to transfer of a big program. It could be as much as a million dollars’ worth of plastic tools that had to be built. We now will probably have to be building some pretty significant stamping and forming tools. And then we have to coordinate the shutdown of their current supplier and move all that inventory from the current supplier to us as well as redirect the inventory that the current supplier has on order to us. So it’s a long miserable drawn out process. The thing to take away from it though is that once it happens, it’s a very sticky customer because in order for them to move, they’re going to have to go through that same mess again to move into somebody else. So the reason that all this is just now starting to take care of, the decrease in the two big customers is that it takes anywhere from 18 months to two years to make it happen. And if you look back 4.5 years ago, we were running about a $180 million in revenue. Today, we’re running somewhere around $300 million plus in revenue. And if you look at what’s happened underneath to that top line, it hasn’t just been those top two customers. It’s been a number of customers particularly in the last couple of quarters that have taken over and greatly diminished the effect that we would have seen had we not had all the smaller customers start to come on.
George Melas – MKH Management: Okay, great. I had another question but I forgot it. Thanks. I’ll get back in the queue. Thank you.
Craig Gates: Okay.
Operator: Thank you. (Operator Instructions) And our next question is from the Bill Dezellem with Titan Capital Management. Please go ahead.
Bill Dezellem – Titan Capital Management: Thank you. I’d actually like to follow-up on the last questioner’s line of thinking. And I am hoping you will check my math or comments on my math for me. When going back and using the 10-Ks as reference and removing your largest three customers, it essentially looks like the rest of the business has very consistently grown between 10% and 15% per year and that the largest customers, a couple of years ago accelerated that rate of growth – and maybe I’m off by a couple of years, but several quarters ago, accelerated that rate of growth. And then as the inventory correction took place, pulled that growth rate down. But essentially the total number was masking that all of your customers outside of the top three were in fact growing in the neighborhood of 10% of 15% depending on the year. Were we doing the math reasonably, close to correct?
Craig Gates: Yes.
Bill Dezellem – Titan Capital Management: And so is that kind of how you think about your business is growing at a reasonably consistent rate of 10% to 15% per year putting economic – major economic swings aide, and then anything above or below that is going to be a function of some large meaningful events?
Craig Gates: No, we look at our businesses, take whatever we can get, figure out when we lost the last one, make changes and win the next one.
Ron Klawitter: You could win a big lumpy one, you could – the growth would be more lumpy as opposed to smooth. And so I know that everyone likes the same unless it’s got a consistent to 5% or 10% growth per quarter and boy, everyone feels happy. But the business doesn’t come in that way. So it’d be more lumpy, but generally the way here is, here is what we measure ourselves on. If you want to grow faster than the competition, a lot of our incentives are based on that. If the market is growing 10%, our goal was to grow faster than 10%. So that means we’re picking up share. It’s not – we don’t go out and pick up a piece of business to say that this is going to help our growth. Every piece of business we look at has got to earn its way. And sometimes it comes in couple of big ones in one quarter and sometimes it takes longer but over the long haul, we expect to grow faster than our overall market is growing.
Craig Gates: In our last board meeting, the board members were giving me a hard time because, said Craig, you just got done or you’re just about to finish telling the shareholders that more revenue diversification is a good thing. Now what happens if one of these big ones closes and they had to go back and say, hi guess what, it turned back into a 30% from this one guy, what are you going to do then? And my answer to them was just like we told you, we’ll take whatever we can get.
Bill Dezellem – Titan Capital Management: And smile how you take it?
Craig Gates: Yes, sir.
Bill Dezellem – Titan Capital Management: Okay. Couple of additional questions. You made reference in this – earlier in this call about the movements from Asia to Mexico. Are you seeing that trend which has been in place for a while? Are you accelerating or decelerating either way?
Craig Gates: There is no doubt in our minds that accelerating dramatically. A lot of this unfortunately appears to be almost fashion trends driven. 10 years ago, the trend was everybody we talked to said, my boss says I got to go to China, and behind the curve, I got to get to China. And we gave up fighting that and invested in China. And as we talked about, that wasn’t a bad idea. It’s still going to be a good place to build stuff or stuff that goes into Asia. But now it almost feels as if we’ve got the fashion trends starting up, China had a lot of stuff we never did like. A lot of stuff we really never did like. And it was balanced out by the fact that it was so much less expensive than building it in North America. Now that the pricing has become such that in many cases, the landed cost in North America is cheaper out of Mexico. All these things that people really didn’t like are becoming accelerants to the push. So people hate the fact that it’s almost half a day off between when we’re awake and they are awake. People hate the fact that when something goes wrong, you’ve got to ship your engineers over there. Well, one of the funny things is that in a number of our big situations, the customers will get our price and then we’ll be talking with them on the phone and then they’ll say, okay, now we’ve got our head, now we’ve got a recount five or six people that will be in your factory at all times, because if that cost doesn’t go away and were we don’t become amazed any more, but we were at the beginning of this, a lot of customers had accepted the fact that they had to have people permanently stationed in their CMs facilities in China in order to get their products. And it’s almost amazing to us that people accepted that, but they did and they don’t have to do that with Key Tronic. And so it has been interesting and people just really didn’t like it, particularly guys that had to be over there. And then finally the number of times we run into customers who say they’ve had it, they are pulling out because they just saw their brand new products on a shelf at a trade show being manufactured by their CM and sold under the CMs name, the IP risk is just really something that people are uncomfortable with. And those things are just are now much more openly talked about, because the prices no longer force people to basically shut up and take it. So it’s going faster because its I guess more and more in fashion to openly talk about the things that we saw five years ago or 10 years ago when we decided to double down on our bet with Mexico.
Bill Dezellem – Titan Capital Management: As having them said, is there a point that we on the outside should anticipate or would reasonably expect to see an acceleration in your new wins taking place?
Craig Gates: Don’t know. All I know right now is that we’re getting looks at things we didn’t get a look at before and we’re winning business that we didn’t get a chance to win before.
Bill Dezellem – Titan Capital Management: Okay.
Craig Gates: And the trends don’t appear to be going the other way.
Bill Dezellem – Titan Capital Management: And that would either or both of the wins that you announced this quarter fall into that bucket?
Craig Gates: Yes, one of them would.
Bill Dezellem – Titan Capital Management: And would you carry this bright kind of the backdrop of that?
Craig Gates: No, not really.
Bill Dezellem – Titan Capital Management: Moving onto the next question. Go ahead.
Craig Gates: You can put it in the basic backdrop of their price continued to go up, up, up. And once they’ve got the price parity, they started looking around and when they find out what we can do, we win it.
Bill Dezellem – Titan Capital Management: And was that the smaller of the two or the larger?
Craig Gates: I said they were both five to 30, so don’t know.
Bill Dezellem – Titan Capital Management: All right. Thank you. Next question. You described in the press release that in the second half you expect to see strong sequential revenue growth. Would you please help us understand what the bottom end of your definition of strong is?
Unidentified Company Representative: Well my definition is if you could do 60 pushups in a minute and 20 chin-ups, that would be strong.
Bill Dezellem – Titan Capital Management: And how that one translates that to revenue growth?
Craig Gates: That was Philip [ph] and I apologize, because I am not going to answer your question. We got in trouble doing that a while back. We don’t want to try to put a number on it, because as we’ve pretty much shown in the past and as we’ve talked about, it’s pretty hard to predict what each one of our customers is doing. I can say that we have a number of programs that are our customers have invested large sums of money in tuning [ph] with us, in prototyping with us, in materials with us that are just starting to ramp, then if you layered those on top of the business we have today, it looks pretty significant in terms of growth.
Bill Dezellem – Titan Capital Management: Thank you. And then one additional question. That the revenue guidance for the December quarter, the mid-point is approximately equal to the revenues that you reported this quarter.
Craig Gates: Yes.
Bill Dezellem – Titan Capital Management: And yet the EPS guidance if we look at the mid-point of that, it actually looks at higher EPS level, which I suspect corresponds to your expectations that gross margins will be higher in the December quarter?
Craig Gates: Well, there is a number of things that went on under the covers, that drove the EPS in this quarter that we don’t think are going to happen next quarter. And we kind of missed by about one month being able to have some nice growth in Q2. And it’s pretty hard to predict plus or minus a month, but we think we’re seeing the beginnings of that. So those are the two main reasons why we think it’ll be a little better, and Ron could probably give you a little more detail on that.
Ron Klawitter: Keep in mind, Bill, that you’re only talking about a couple of hundred thousand dollars between what you saw in the first quarter and what the mid-point in the second quarter is. So it’s not that much. And in dollar terms, it looks – I think you’re reading – getting too fine of putting too finer point on that pencil as you’ve been figuring with. It is a range and mid-point of the range we’re going to be pretty close to Q1.
Craig Gates: To put Ron’s comments in perspective, one person that catches cancer and goes over a stop loss and caused us 200,000 bucks in a quarter. And we look at it in that finer detail.
Bill Dezellem – Titan Capital Management: Right. And you did mention that there were a couple of things that impacted this quarter that you do not think will repeat.
Craig Gates: That’s one of them.
Bill Dezellem – Titan Capital Management: Okay. Others?
Craig Gates: I want to go in [ph]. I think that gives you an idea of some of the things that can happen from quarter-to-quarter.
Bill Dezellem – Titan Capital Management: Well, thank you and best of luck to your employee.
Ron Klawitter: Yes.
Operator: Thank you. (Operator Instructions) And our next question comes from the line of George Melas with MKH Management. Please go ahead.
George Melas – MKH Management: Thank you. Just I guess I remember one question that I had asked on the gross margin impact of the diversification. Sometimes large customers can be more profitable than several small customers, but how is it going to play out do you think?
Craig Gates: We think we’re pretty damn happy with 8% to 9%. Every quote we do is kind of a unique experience. So we don’t see that we’re going to a see a massive growth in or any significant growth in gross margin as we diversify our customer base. What we do expect is that our top line will be much less affected by one customer who has a bad quarter or a bad year and we believe that the more different types of business we have in our factories to show people, the more people consider us for doing their type of business. And the big part of that we see anyway of the CM industry when you’re doing this range and broad array of products that we build is that a customer is much more comfortable with giving you a big piece of his business if he can see that you’re building something that looks close to what he builds. And so this diversification helps us in two areas. One is in being able to have a better chance of pointing to another department in the factory and say, see there, we’re building night lights and they look a lot like your night light odor dispenser, so what do you say, versus not being able to have that point to. And then second if the guy is making those night lights, suddenly he has a bad quarter, it doesn’t knock 10% of our revenue base. It knocks 1% out.
George Melas – MKH Management: Got it. Okay, great. And then I am going to try may be one more time what Bill had been trying to do. But as I read your press release, it suggests to me that by the fourth quarter of this year, or in the June quarter, you should have growth year-over-year versus the June quarter of ‘13, as you say then exceed the reduction. Do I read this correctly?
Craig Gates: Yes. And we’re not going to comment on that.
George Melas – MKH Management: But this is – but I’m not…
Craig Gates: You’re not too far on that case.
Ron Klawitter: You’re not far off.
George Melas – MKH Management: Okay.
Ron Klawitter: [Indiscernible] that’s kind of what you mean isn’t it?
Craig Gates: Good. I am trying to remain polite and positive. So you could trying to pick up me like Bill does or [indiscernible].
George Melas – MKH Management: Well, I was trying to help down [ph]. Okay, thank you so much.
Craig Gates: All right.
Operator: Thank you. (Operator Instructions) One moment please for our next question.
Craig Gates: Operator, it looks like – are you there?
Operator: I am here.
Craig Gates: Okay. Yes. I think that’s all the time we need to give Bill to come up with another one.
Operator: Okay. As there are no further questions, I’d like to turn the call back over to Mr. Gates for any closing remarks.
Craig Gates: All right, thank you again for participating in today’s conference call. We appreciate the depth of the questions and I wish the world was such that we could tell you everything we know, but we can’t. So I apologize if we look like we were answering a little bit evasively, we weren’t. Ron and I look forward to talking with you again next quarter. And have a good day.
Operator: Ladies and gentlemen, this concludes our conference call for today. If would like to listen to a replay of today’s conference call, please dial 1 (800) 406-7325 and enter access code, 4644972. We’d like to thank you for your participation and you may now disconnect.